Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good morning, and welcome to the City Office REIT Incorporated Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instruction] As a reminder, this conference is being recorded. [Operator Instructions] 00:40 It is now my pleasure to introduce you to Tony Maretic, the company's Chief Financial Officer, Treasurer, and Corporate Secretary. Thank you, Mr. Maretic. You may begin.
Anthony Maretic: 00:50 Good morning. Before we begin, I would like to direct you to our website at cioreit.com, where you can view our fourth quarter earnings press release and supplemental information package. The earnings release and supplemental package, both include a reconciliation of non-GAAP measures that will be discussed today to their most directly comparable GAAP financial measures. Certain statements made today that discuss the company's beliefs or expectations or that are not based on historical fact may constitute forward-looking statements within the meaning of the federal securities laws. Although the company believes that these expectations reflect in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. 01:36 Please see the forward-looking statements disclaimer in our fourth quarter earnings press release and the company's filings with the SEC for factors that could cause material differences between forward-looking statements and actual results. The company undertakes no obligation to update any forward-looking statements that may be made in the course of this call. I'll review our financial results, after Jamie Farrar, our Chief Executive Officer will discusses some of the quarter's operational highlights. 02:02 I will now turn the call over to Jamie.
James Farrar: 02:04 Good morning. Thanks for joining today. Before we touch on the quarter's results, I want to step back for a moment and reflect on the incredible and transformational year that our company has experienced. Despite the challenges associated with COVID, we’ve found ways to create value for our shareholders. To that end, I want to recognize and thank our team. Their hard work, persistence and thoughtful execution has generated outstanding results. 02:35 As a recap, during 2021, we sold our Cherry Creek property in Denver during the first quarter and then our San Diego life science portfolio in the fourth quarter. Combined, these two dispositions generated our company a $477 million gain on sale, equating to approximately $10.80 per fully diluted share. From a return perspective, our shareholders were well rewarded. The market value of our common equity more than doubled and City Office achieved a 112% total return during 2021. This ranked us as the top-performing public office REIT and one of the best performing companies in the entire REIT universe for the year. 03:24 Moving to our results in the fourth quarter. We completed $1.2 billion of acquisitions and dispositions. We started the month of December with the sale of our San Diego life science portfolio for $576 million. In anticipation of the sale, we use the 5 months leading up to the closing to build a pipeline of properties to enhance our portfolio. Following the sale, we efficiently completed 3 sequential acquisitions totaling $614 million. These purchases are located in Phoenix, Dallas and Raleigh. Each of these properties is exactly the type of asset that has the highest appeal to tenants and employees today. Each property features a superb location, new construction, best-in-class amenities and modern tenant spaces. 04:21 There is an acquisition presentation for each of these on our website that conveys the quality of these properties. The first acquisition to close was Block 23 in downtown Phoenix for $150 million. Block 23 is a premier office building delivered in 2019, that features an unmatched on-site amenity package. It has an incredible rooftop deck and a wide variety of nearby restaurants, bars and entertainment options. The 307,000 square foot property was 94% leased at close, including signed leases that have not yet commenced with a 12-year weighted average lease term remaining. 05:08 Next, we closed The Terraces in the Preston Center submarket of Dallas for $134 million. Preston Center is a very special and high barrier to entry location. The submarket is surrounded by some of the wealthiest residential neighborhoods in all of Texas. Proximity to these decisionmakers' homes provides a competitive advantage in leasing. The Terraces is the newest building in the submarket and has walkability to surrounding amenities. The 173,000 square foot property was 99% leased at close, including signed leases that have not yet commenced with a weighted average lease term remaining of approximately 8 years. 05:53 Last, we finished the year by purchasing Block 83 in Raleigh for $330 million. Raleigh is a vibrant market to add to our portfolio. He possesses very similar characteristics to many of our other high-growth cities in the South and West. The transaction provided a great opportunity to enter Raleigh with immediate scale and one of the best assets in the entire market. The Raleigh metro area has experienced a 22% increase in population between 2010 and 2020, ranking it as one of the fastest-growing population centers in the US. Raleigh also experienced strong GDP increases, propelled by tremendous growth in the STEM and life science industries. 06:40 The Research Triangle with its multiple world-class universities is a deep source of talent and innovation. We believe these attributes will continue to make it a great city for future corporate expansion. Our acquisition Block 83 is a spectacular 2-building complex comprised of approximately 495,000 square feet of office and street-level retail. The property is located in the preeminent live-work-play district of Glenwood South in downtown Raleigh. It's a unique location with walkability to restaurants, bars and coffee shops and ample nearby quality housing options. 07:22 The new build construction and top of the line on-site amenities have led to a rapid lease up of Block 83. The first of the 2 buildings was delivered in 2019 and is now 97% leased. The second building delivered in 2021 and is tracking well for stabilization. The building was 30% pre-leased and has achieved an additional 100,000 square feet of leasing during 2021. We expect to make significant progress on the remaining 96,000 square feet of vacancy this year. 07:58 Note, that for each of these acquisitions, I described the percentage leased, which includes signed leases that will take occupancy in the future. The property overview section of our financial supplement provides the percent occupied at December 31st, which will be lower until these signed leases commence. 08:18 In summary, the fourth quarter was extremely busy with capital recycling activities. Because of the scale of the net proceeds from the San Diego disposition, which equated to a roughly 2% trailing cap rate, including the land, we were able to purchase these best-in-class properties and improve our earnings outlook at the same time. The midpoint of our new 2022 core FFO per share guidance is 16% higher than the core FFO per share that we achieved in 2021. 08:51 Notably, we're generating this increase with lower leverage and we are positioned for growth as we lease our remaining vacancies and the signed leases commence. It is also worth noting that these transactions allowed us to increase our dividend by 33.3% in the fourth quarter. Over time, we will continue to evaluate further increases as our portfolio supports higher dividend levels. 09:20 With that, I'll shift to discussing our focus for 2022 and beyond. The main priority is to accelerate leasing and future cash flow growth across our portfolio. As we've discussed in the past, we have and will continue to invest in our properties and our available inventory. In addition, over the next few years as opportunities arise, we intent to focus on capital recycling to further elevate the quality of our portfolio. 09:50 In terms of leasing velocity in our markets, generally, Omicron caused office usage to take a step back over the last few months. This appears to be changing now that we've passed the peak of new Omicron cases and we've been pleased by the improvement in new leasing prospects and tour activity in many markets. However, at the same time we are seeing some tenants rethink their overall space needs. For the near term, we continue to anticipate elevated downsizing and vacates, which we factored into our guidance. 10:25 Further, we believe the tenants in today's marketplace want high-quality properties with modern spaces to enhance the appeal of returning to the office. They desire spaces that can be occupied with speed and minimal risk from potential delays in sourcing materials or construction labor. Responding to this opportunity continues to be a focus for our team and we anticipate further investment in our portfolio this year. We believe these investments will accelerate long-term cash flow growth and the speed of new leasing. 11:02 As we look ahead, we continue to believe that our thesis of investing in great cities in the South and West will yield attractive results for our shareholders. We look forward to updating you throughout the year on our progress. 11:16 I'll now turn the call over to Tony Maretic to discuss our fourth quarter results and our 2022 outlook in detail.
Anthony Maretic: 11:23 Thanks, Jamie. Our net operating income in the fourth quarter was $25.1 million, which was $4.6 million lower than the amount reported in the third quarter. This is primarily a result of the termination fees that we recorded in the prior quarter for BB&T at Park Tower in Tampa. We reported core FFO of $15.8 million or $0.36 per share, which was $1.6 million higher than in the third quarter. Core FFO was higher despite lower net operating income due to lower general and administrative expenses. G&A decreased due to a reallocation of the special employee incentive that was accrued for the life science portfolio sale. 12:11 During the third quarter $5 million was accrued. In the fourth quarter, we reversed and reallocated $1.5 million of this amount from a cash payment that impacts G&A in 2021 to a grant of restricted stock units that will instead amortize over the next 3 years as they vest. Our fourth quarter AFFO was $7.7 million or $0.17 per share. The largest impact to AFFO was $1.4 million of tenant improvement costs incurred at our Carillon Point property in Tampa. This amount was for a 93,000 square foot tenant that signed an eight-year lease extension and expansion in January 2021. 12:55 We also incurred approximately $600,000 during the quarter to build ready to lease spec suites and implement vacancy conditioning, which is a key part of our 2022 business plan as Jamie mentioned. We announced in December an increase of our quarterly dividend from $0.15 per share to $0.20 per share. On a long-term basis, we believe our dividend will be well covered, but our AFFO numbers will continue to move around some from quarter-to-quarter in periods with large leasing investments or capital expenditures. 13:27 Our fourth quarter same-store cash NOI change was negative 0.5% as compared to the fourth quarter of 2020, but ended the full year 2021 at positive 2.2%. Fourth quarter same-store cash NOI was impacted by lower occupancy year-over-year. Contributing to that decrease in occupancy, BB&T vacated their space at Park Tower during the third quarter to accommodate the new 73,000 square foot tenant whose lease commences on May 1, 2022, but will not begin paying cash rent until February 2023. That new tenant's 8 year lease increased the value of the property, but the downtime and free rent period is a significant contributor to our negative Q4 same-store results as well as our 2022 same-store cash NOI guidance. 14:21 Our total debt at December 31st was $654 million. Our net debt including restricted cash to EBITDA was a healthy 5.9 times. During the quarter, we renewed and expanded our unsecured credit facility. Our revolving credit facility availability has been increased from $250 million to $300 million with the maturity at the end of 2025 and a one-year extension option. We have no debt maturities in 2022 and 2 small maturities in 2023. 14:54 Last, we have provided full year 2020 guidance in our press release. We are projecting core FFO of $1.56 to $1.60 per share, which at the midpoint is a 16% increase over our 2021 results. This is the highest in our corporate history and can be achieved utilizing substantially lower leverage. For dispositions, we have indicated a range of $0 million to $44 million as the tenant at our Lake Vista Pointe property in Dallas has a purchase option that expires on July 31st. We believe there is a significant likelihood that a tenant will purchase the property. 15:34 Despite some of our acquisitions lowering our overall occupancy at the end of 2021, we expect occupancy will slowly rise throughout the year as signed leases in these newly built properties take occupancy. We expect that our same-store cash NOI will be negative in 2022, due to several anticipated move-outs and free rent periods in 2022. We expect it will rebound in 2023, all else equal, as new acquisitions are added to the same-store pool and certain free rent periods burn off. 16:07 We also anticipate significant tenant and capital improvement costs in 2022, as we expect to invest approximately $5 million in building out high-quality spec suites to accelerate leasing. We further intent to make a similar investment to upgrade lobbies and amenities at a select number of properties. We also intent to incur approximately $5 million TI and leasing commission costs to reposition and enhance the Ingenuity Drive property within our Florida Research Park portfolio in Orlando and one of the two buildings at our San Tan property in Phoenix. A good way to think about this investment in spec suites and repositioning is to view it as a pre-funding tenant improvement costs. When leases are signed in those spaces, the TI costs at that time will be reduced and a tenant may commence occupancy and pay rent sooner than it would otherwise be able to do. 16:59 While we expect this will lower 2022 AFFO as these expenses are incurred, the cost will normalize as leases are complete. We believe this is a best way to position our vacant inventory and accelerate future leasing activity. We refer you to the material assumptions and considerations set forth in our earnings release for further details. 17:19 That concludes our prepared remarks and we will open up the line for questions. Operator?
Operator: 17:27 We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Rob Stevenson with Janney. You may now go ahead.
Rob Stevenson: 17:54 Good morning, guys. Tony, given your comments on the spec suites, the lobby and the repositioning, how should we be thinking about those 3 lines in your AFFO number? You guys gave guidance on the straight line, but in 2021, if I'm doing my math correctly, your tenant improvements, leasing commissions and CapEx combined were a little over $23 million. Are we anticipating that it's going to be into the mid-30s in 2022 with those programs in place or is that stuff running through AFFO or is this stuff being capitalized, how should we be thinking about some of this stuff from a financial standpoint?
Anthony Maretic: 18:38 Yeah. That's a good question, Rob. So, as I said in the call, a couple of items there. You have about $5 million for the spec suite program, which will run through AFFO. Yes, that is higher than we've historically run, by about a couple of million for sure. Similarly, I said roughly equal amount that we're planning to do on the CapEx program to really enhance the amenities and lobbies and what not and that's similar amount of $5 million, again it's elevated over prior years. So combined, the numbers are roughly an extra $5 million of what our run rate would be. 19:15 And then in terms of the repositioning, we will be treating those 2 acquisitions – those 2 properties will be removed from AFFO. We're taking 2 effectively single-tenant properties, amenitizing them, improving the lobbies and turn them into multi-tenanted properties and so as a result, they won't run through AFFO. So, you can expect probably net-net an additional, call it, in the neighborhood of $5 million of higher costs from those categories.
Rob Stevenson: 19:46 Okay, that's helpful as we figure out the AFFO for 2022 here. Other question is based off of what you're seeing from a leasing perspective, how should we be thinking about the economic occupancy of the 2 Block acquisitions that are still in lease-up throughout the years? Do we get to a point where there -- from an economic occupancy standpoint that they've got people paying for the vast majority of the space by year end? Is that more of a 2023 thing at this point? What's included in your guidance for 2022 and for the lease up there?
James Farrar: 20:29 Thanks for the question, Rob. So, Block 23 is in fact about 94% leased currently, so leases have been signed. They haven't commenced in some cases, and so in the way we structure the deal is, we have basically paid some bridge rent, but that doesn't flow through into our income statement. So effectively, that one is already stabilized. By the end of the year, occupancy will match kind of where the leasing is. 20:57 In terms of Block 83, the bigger block in Raleigh that one has, call it, just under 100,000 feet of vacancy and that's where we're focused. And so, we've got some very good activity on that. We're actually very pleased with how some lease discussions have moved along. And so, we think we're going to make substantial headway to stabilize that by the end of the year.
Rob Stevenson: 21:25 Okay. And then, beyond the purchase option asset, how are you guys thinking about the dispositions this year and going forward? I mean, you've got basically 2 parts of the portfolio right? You've got the legacy portfolio that you guys acquired it plus or minus a 7 cap-ish rate and then you've got the more recent acquisitions that have been on a much, much lower cap rate. Do you guys continue to whittle down and use -- recycle some of the higher cap rate assets into lower? Was that just the redeployment of Sorrento Mesa, how are you guys thinking about acquisitions and capital recycling as we go 2022 to 2023?
James Farrar: 22:12 So, you'll see in our guidance we haven't assumed any net new acquisitions this year, that could change based on recycling. So we are constantly looking at our portfolio and if you were to step back for a second and say, how do you feel about the categorization of the assets you have, I'd say, 60% of the value of our assets are phenomenally positioned, 30% are well positioned. They aren't the class AA, but they are well positioned, great markets, great tenancy. We might put a little bit of capital into some of the spec suites in those to really drive and then you've got about 10% of our portfolio where some of the larger back office type properties and those are the ones today that are harder to lease and there's more competition. 23:04 And so, we haven't made any conclusions. I mean, we're focused on trying to position those, so that we can drive as much cash flow out of those as we can and create value. And some of those might be recycled and others I think will reposition and shift it up to a higher category. And so, that will play out over probably the next 24 months. And so we're not really concluded on any particular strategy with that aspect of the portfolio, but we are planning out all of our options right now.
Rob Stevenson: 23:34 Okay. And then, last one for me. Tony, any incremental known move-outs of size that you guys have come to terms with over the last couple of months since the last earnings call?
Anthony Maretic: 23:48 In terms of new, I don't think there is new, but I can recap some of the larger ones that we know well, and so we do have a 46,000 square foot tenant at FRP Ingenuity Drive that is vacating -- that vacated in January. We have a 31,000 square foot tenant at our Pima Center in Phoenix that is a known move out at the end of Q1. And then, beyond that, it's just the Toyota lease, which we've talked about before in Q3 of '22, so nothing new.
Rob Stevenson: 24:24 Okay. Thanks guys. Appreciate the time.
James Farrar: 24:26 Thanks, Rob.
Operator: 24:31 Our next question comes from Michael Carroll with RBC Capital Markets. You may now go ahead.
Michael Carroll: 24:38 Yeah. Thanks. Jamie, in your prepared remarks you kind of highlighted that in this current office environment that you're expecting an elevated level of downsizing in vacates. I mean, can you provide some color on what you're seeing, and is that kind of going to reflected in your guidance in your '22 exploration schedule?
James Farrar: 24:59 So, it has been reflected in how we projected for the year, Mike. And so, as we look forward -- historically, we've been in that 70%, 75% renewal. I think, if you look at 2021, we're a little under that, and we might be a little bit under that for the balance of 2021. We're having good dialog with a number of tenants that have roll over the next, call it, 12 to 18 months, but there might be some downsizes there. 25:25 So, a lot of it's really going to depend on these tenants coming back and starting to really utilize their space. And right now, utilization is low across the industry right? It's more like 30%. And so, it's not an easy time to predict exactly what's going to happen with tenants needs as rule occurs and so we're taking a bit more of a conservative view.
Michael Carroll: 25:48 Okay. Are tenants -- when their leases come due, I mean, are they looking more active of trying to reinvest in their space like change their footprint around or are they asking for more TIs or is it too early to tell?
James Farrar: 26:01 It's a mixture, it really depends on the condition of the existing space, but for some of the larger back office users, yeah, they're trying to get their arms around what they need and how they want that space to be laid out. And so, TIs are probably going to be a little bit higher going forward.
Michael Carroll: 26:19 Okay. And then just going back to your investment strategies that you're kind of highlighting earlier, so should we assume that if you do new acquisition that's going to be funded through capital recycling, is that kind of a good way to think about it?
James Farrar: 26:34 Probably a good way to think about it. And so with our guidance we have said 0 at this time on new acquisitions for the year, that could change depending if we decided to monetize some additional assets.
Michael Carroll: 26:47 And is there any unique within potential capital recycling within land parcels or a higher better use within the portfolio kind of like the life science deals or anything like that still in the portfolio?
James Farrar: 27:01 Yeah, there is nothing really imminent like that, Mike. I'd say the one thing that's worthy of commenting on and particularly as you look to get your arms around our tenants thinking about coming back to the office and what their own thoughts are, if you look at our single-tenant that we have at our Lake Vista property and we mentioned in the past, they have a purchase option and we put that in, the book-ins of a disposition guidance of $44 million. Our own best thought today is, they're likely going to purchase that building. When you step back and say, okay, they are not utilizing the building at all today, yet they're going to make a substantial investment to buy it, that's the sort of conversation we're hearing quite often in the market. Tenants want to get their employees back to the office and so we made some general comments here about being conservative, but we are feeling incrementally more optimistic that that's going to happen. 27:59 And so, that will be one property, to your point, that I think there's a real likelihood that it gets sold, recycled. We'll decide what we're going to do with those proceeds. There's a number of different considerations on the table right now and we'll firm that up as the year evolves.
Michael Carroll: 28:14 Okay, great. And then just last one for me. Tony, can you talk a little bit about the G&A increase? I believe you kind of mentioned this in your prepared remarks, but what's the reasoning for such a large uptick that we're expecting in 2022?
Anthony Maretic: 28:30 So, one component of that is the $1.5 million of RSUs that were issued in January that vest over three years. You have another has $0.5 million from that component alone. And then, the rest of the increase in G&A is really -- we're seeing it a little bit from our professional service providers. Cost going up there, we are expecting to incur more travel than we had over the last couple of years. There's a little bit increases across the other components combined with the higher stock compensation expense.
Michael Carroll: 29:10 Okay. Great. Thank you.
James Farrar: 29:12 Thanks, Mike.
Operator: 29:17 Our next question comes from Craig Kucera with B. Riley FBR. You may now go ahead.
Craig Kucera: 29:25 Yeah. Thanks. Good morning guys. If the option at Lake Vista is executed, would you anticipate using those proceeds to pay down debt or would you look at other alternatives with those proceeds?
James Farrar: 29:41 So, all options are on the table. They could be recycled into another acquisition, could be used to lower leverage, could be used to help retire the preferred as well. So we're considering all options right now.
Craig Kucera: 29:58 Got it. And Tony, in the guidance there is mention of $1 million of lease termination income. Is that just the remainder of the Toyota Motor credit's being amortized or is that based on conversations you’ve had with another tenant who is may be looking to exit early in '22?
Anthony Maretic: 30:17 Yeah. So the termination, there is a total of actually 3 tenants. Toyota is the largest representing nearly 2/3 or just over 2/3 of the amount and then 2 other smaller tenants that we're amortizing for, including a tenant that gave us 1 option at our Circle Point property.
James Farrar: 30:39 No. Superior Point.
Craig Kucera: 30:43 Okay. That's helpful and which -- I may have missed this, but in your guidance, you mentioned there was 1 lease signed with a lot of free rent, which building was that at? Did you -- and I can read it, but did you mention that?
James Farrar: 30:57 So, in terms of looking at our same-store for next year, the largest is related to the fintech tenant that we signed at Park Tower in Tampa to replace BB&T. Their lease least starts May 1st. They've actually grown from the initial lease they signed to now 79,000 square feet and they don't actually start paying cash rents until February of 2023.
Craig Kucera: 31:29 Perfect. All right. Thanks. That's it from me.
James Farrar: 31:32 Thanks, Craig.
Operator: 31:37 Our next question comes from Barry Oxford with Colliers. You may now go ahead.
Barry Oxford: 31:43 Great. Thanks guys. Jim, real quick on the Raleigh acquisition, what was that pricing to the extent that you can talk about it? Because it is a very dynamic market that a lot of people want to get into, so just kind of trying to get a feel for pricing.
James Farrar: 32:02 Sure. Nice to hear from you again Barry as well, So yeah, that was $330 million, $667 a foot. Cap rate was lower, right? Based on where occupancy was at closing and that stabilizes in the low-5s with our numbers and based on everything we're seeing on lease activity and what's happening there, we're feeling good about that and we think that's going to be a nice cash flowing asset over the long term. And there is two buildings in the portfolio. There is another piece of ground that's adjacent to it that the original developers may build into kind of the third building in the portfolio and we've structured ourselves that we can participate in that if we like to. And we think that economics there could be extremely attractive coming in on the development side. And so, over the next, call it, year or so, we'll see whether we want to kind of enhance our overall returns by participating in that part as well.
Barry Oxford: 33:04 Jamie, is there any near-term mark to market in there?
James Farrar: 33:08 In Raleigh, they are all brand new long-term leases, so they have nice step out. But where we're really going to get the cash flow pickup, Barry is by leasing the vacancy and when you tour the asset, it is spectacular. The amenities are spectacular. We feel really good. And I think, the upside also is we've already moved rents above where we had underwritten them and so that market continues to really strengthen. And I think, we're going to do really well on where we settle out on the rental rates on the remaining space.
Barry Oxford: 33:41 Great. Thanks guys.
James Farrar: 33:44 Our pleasure.
Operator: 33:50 As there are no additional questions, I will now turn the call back over to Mr. Jamie Farrar to conclude.
A - James Farrar: 33:55 Thank you for joining today. Please don't hesitate to reach out, if you have any other questions. Good bye.
Operator: 34:07 Thank you for joining. This conference is now concluded. You may now disconnect. Thank you.